Operator: Welcome to the OMV Group's conference call. [Operator Instructions]. You should have received a presentation by e-mail. However, if you do not have a copy of the presentation, the slides and the speech can be downloaded at www.omv.com. Simultaneously to this conference call, a live audio webcast is available on OMV's website. At this time, I would like to refer you to the disclaimer, which includes our position on forward-looking statements. These forward-looking statements are based on beliefs, estimates and assumptions currently held by and information currently available to OMV. By their nature, forward-looking statements are subject to risks and uncertainties that will or may occur in the future and are outside the control of OMV. Therefore, recipients are cautioned not to place undue reliance on these forward-looking statements. OMV disclaims any obligation and does not intend to update these forward-looking statements to reflect actual results, revised assumptions and expectations on future developments and events. This presentation does not contain any recommendation or invitation to buy or sell securities in OMV.  I would now like to hand the conference over to Mr. Florian Greger, Head of Investor Relations. Please go ahead, Mr. Greger.
Florian Greger: Yes. Thank you, and good morning, ladies and gentlemen. Welcome to OMV's conference call for the Fourth Quarter 2022. With me on the call are our CEO, Alfred Stern; and Reinhard Florey, our CFO. As always, Alfred will walk you through the highlights of the quarter and discuss OMV's financial performance. And after that, both gentlemen will be available to answer your questions.  And with that, I'll hand it over to Alfred.
Alfred Stern: Thank you very much, Florian. Ladies and gentlemen, good morning, and thank you for joining us. After a very strong macro environment in the third quarter of 2022, the warmer-than-usual winter weather in Europe and rising COVID cases in China fueled demand concerns and drove oil and gas prices down in the fourth quarter. Brent oil prices decreased to around $89 per barrel on average for the quarter. European gas spot prices fell by around 50% due to the high filling level of storage facilities driven by mild weather and the prospect of increasing LNG importing capacity in Europe.  Refining margins significantly increased quarter-on-quarter, supported by the diesel and jet fuel cracks in anticipation of the upcoming ban on Russian products in Europe. Olefin margins in Europe decreased compared to the third quarter driven by lower demand and ample supply. Polyolefin margins recovered from the low level of the third quarter but remained substantially below the strong prior year quarter when imports in the European market were constrained due to shipping bottlenecks.  With around EUR 2.1 billion clean CCS operating result and EUR 1.2 billion cash flow from operating activities, excluding net working capital effects in the fourth quarter of 2022, we ended a year that was exceptional in many ways. In 2022, we generated in total EUR 11.2 billion in clean CCS operating result and [Technical Difficulty] despite huge negative working capital movements. Our strong underlying cash flow, disciplined capital spend and the strong balance sheet enable us to deliver on our progressive dividend policy and to continue with the transformation of the company.  For the financial year 2022, we will propose to the annual general meeting a regular dividend of EUR 2.80 per share, an increase of 22% versus the prior year regular dividend, which marks a new record in OMV's history. This is in addition to the special dividend of EUR 2.25 that we already announced back in October last year.  Looking at operations. Year-on-year polyolefin sales volumes went down slightly, while fuel sales volumes were flat. The utilization of the European crackers and refineries recovered, oil and gas production was lower year-on-year, but at a similar level quarter-on-quarter. We were very active in advancing the execution of our strategy with a strong focus on sustainability.  We signed an MOU with Wood for the commercial licensing of OMV's proprietary ReOil technology for chemical recycling. We joined the consortium of the Methanol-to-Sustainable Aviation Fuel project in Germany, aiming to develop a new process technology to use sustainable aviation fuel as a drop-in fuel up to 100%. We signed additional MOUs with European airlines to supply sustainable aviation fuel. With these new agreements, the total sales volumes amounts to up to 1.3 million tonnes in the period 2023 to 2030. And we conducted a production and injection test to analyze the geothermal potential in the Vienna Basin, and the results were successful.  Regarding the circular economy, we acquired an additional stake in Renasci, a Belgium-based provider of innovative recycling solutions in which we now have a maturity share because we are convinced of the potential of Renasci's patented smart chain processing concept. The concept enables the processing of multiple waste streams using different recycling technologies under one roof, resulting in the exceptionally high valorization of waste. By leveraging its market access know-how and innovative technological capabilities, Borealis will accelerate the implementation of the smart chain processing concept and will also explore opportunities for replicating the model in strategic locations. The acquisition will support our goals by providing increasing long-term access to chemically-recycled feedstock from Renasci's Austrian facility and by enabling access to key circular technologies.  We are proud to have been recognized once again as a sustainability leader by S&P Global and were included in the Dow Jones Sustainability World Index for the fifth time in a row. We are one of the top 10 energy companies globally and one of Europe's 5 sustainability leaders in the energy industry, and we are still the only Austrian company listed in this prestigious index. Last but not least, as of January this year, we have introduced a new corporate structure to drive sustainable growth and innovation.  In addition to the CEO and CFO areas, we have 3 business segments: Chemicals & Materials, Fuels & Feedstock and Energy. We are happy to welcome Daniela Vlad as the new Executive Board member responsible for Chemicals & Materials who joined us yesterday.  Let's now turn to our financial performance in the fourth quarter of 2022. Our clean CCS operating result in the fourth quarter of 2022 rose by 5% to around EUR 2.1 billion. However, it's decreased by 40% compared with the extraordinarily strong third quarter of 2022, mainly driven by falling oil prices and the correction of gas prices. The clean CCS tax rate increased to 54%, which was 17 percentage points higher than in the same quarter of the previous year due to a higher share of E&P and the group profits. And therein, an increased contribution from E&P countries with a high tax regime. The solidarity contribution in Austria came in lower than expected at around EUR 90 million, and it was recorded as a special item. As a result of the increased tax rate compared to the fourth quarter of 2021, the clean CCS net income attributable to stockholders declined by 31% to EUR 700 million. Clean CCS earnings per share fell to EUR 2.14.  Let's now discuss the performance of our business segments. The clean operating result of Chemicals & Materials dropped sharply to EUR 57 million. The result was impacted by a slowdown of the chemical sector reflected in weaker margins and volumes and substantial negative inventory valuation effects in polyolefins and the Nitro business as well as a lower performance of the joint ventures. We have seen a huge swing of around EUR 200 million in inventory valuation effects. While in the prior year quarter, the inventory effects were positive and supported the result. In the fourth quarter of 2022, we recorded negative effects of around EUR 100 million, which weighed on the results.  The polyethylene indicator margin declined by 19%, while the polypropylene indicator margin decreased substantially by 42%. The ethylene indicator margin improved by 7% supported by reduced supply. The propylene indicator margin went down by 12% due to increased supply as a result of high refining runs. As a consequence in our European operations, we recorded a negative market impact of around EUR 100 million compared to the fourth quarter of 2021. Despite weaker propylene margins and lower cracker utilization rates, the performance of OMV's operated base chemicals business increased supported by the insurance proceeds related to the incident at the Schwechat refinery in 2022.  The contribution of Borealis excluding the joint ventures turned negative to minus EUR 23 million impacted by a negative nitro result, lower polyolefin margins and sales volumes and substantially lower inventory effects in polyolefins. In Borealis Base Chemicals business, the weaker propylene margins and cracker utilization rates were, to a large extent, offset by slightly higher ethylene margins and increased light feedstock advantage and an improved phenol business contribution.  The contribution from the polyolefin business saw a significant decline impacted by the large negative inventory effects and a drop in margins and sales volumes. As a result of cautious European buying sentiment, sales volumes decreased by 11% with a more pronounced decrease in polypropylene as it has a greater exposure to the more cyclical durable goods. The decline was seen in the Consumer Products & Infrastructure segments, Volumes in mobility and energy marginally increased. While the realized margin per tonne for the specialty products slightly improved, the realized margin for the standard products declined more than the indicator margin due to higher utility costs.  The performance of the JVs decreased by EUR 119 million driven by a negative contribution from Baystar and a lower contribution from Borouge compared to the prior year quarter. Borouge results significantly driven by industry-wide pricing pressure and the lower share of OMV following the listing of the company in June 2022. Polyolefin prices in Asia fell due to new production capacities and depressed Chinese consumer demand caused by lockdowns and the real estate crisis. The negative market impact on Borouge could only be compensated for, partially by higher sales volumes driven by the full ramp-up of the new polypropylene unit.  At Baystar, the ethane cracker recorded a low utilization rate in the fourth quarter of 2022 due to operational issues during the start-up and the hard freeze in Texas in December, which led to its shutdown. Combined with the weak market environment, the revenues at Baystar were limited, while costs increased due to the charge of full depreciation after the start-up and higher interest expenses.  The clean CCS operating results in Refining & Marketing almost doubled to EUR 714 million due to very strong refining indicator margins, a significantly higher contribution from ADNOC Refining & Trading and insurance proceeds related to the incident at the Schwechat refinery in 2022. This was partially offset by a substantially reduced contribution from gas and power in Romania, higher third-party supply costs, increased utility costs and the low retail contribution.  Total sales volumes were at the same level as in the fourth quarter of 2021. The divestment of the retail volumes in Germany was compensated for by an increase in jet fuel sales volumes following a recovery in the aviation market. The retail business performance declined, impacted by market price regulations in some countries and voluntary discounts in Romania, the missing contribution from Germany and higher costs.  The contribution of the commercial business was similar to that in the fourth quarter of 2021 with constant volumes and margins. The contribution from ADNOC Refining & Trading rose from EUR 14 million to EUR 114 million, driven by higher refining margins and the strong performance of ADNOC Global Trading. The result of Gas & Power Eastern Europe decreased by EUR 87 million [Technical Difficulty] regulations related to the extended scope of Cap prices and overtaxation for both gas and power in Romania in the amount of EUR 150 million. gas and power margins could only partially offset this.  The clean operating result of exploration and production increased by 15% to EUR 1.3 billion. The higher realized commodity prices and the stronger dollar more than offset the lower sales volumes caused by the exclusion of Russian volumes, higher operational costs, gas overtaxation in Romania of around EUR 90 million and the negative result in the gas marketing Western Europe business.  Compared with the fourth quarter of 2021, OMV's realized oil price increased by 12%, in line with Brent. The realized cash price rose by 71% compared with the prior year quarter driven by the increase in gas prices in Europe and the exclusion of Russian gas volumes. Production volumes decreased by 106,000 to 385,000 BOE per day, primarily due to the change in the consolidation method of Russian operations. Higher production in the UAE after a revision of OPEC restrictions compensated for decreased production in all other countries. Production costs rose by 43% to $9.10 per barrel significantly impacted by the exclusion of the low cost Russian gas volumes and global cost pressures.  Sales volumes declined to 367,000 BOE per day driven by the change in Russia consolidation compensated for by higher sales volumes in Libya and in the UAE. Depreciation increased by EUR 74 million, mainly driven by a higher asset base, partially following write-ups and increased production in the UAE.  The gas marketing business in Western Europe recorded a loss of EUR 77 million due to supply curtailments from Gazprom. In the fourth quarter of 2022, we experienced significant volatility in the delivered gas volumes from Russia and market prices, which weighed on our efforts to adjust the hedged volumes and led to losses. This negative impact was partially offset by our LNG and Logistics business.  OMV holds a throughput agreement in Gate an LNG reclassification terminal in Rotterdam. Given its key role in our operations of securing gas supplies, we decided to include its contribution in our clean operating results starting with the fourth quarter of 2022.  Turning to cash flow. Our fourth quarter operating cash flow excluding net working capital effects was EUR 1.2 billion, significantly lower than in the fourth quarter of 2021 when we received a special dividend from Borouge of EUR 1.3 billion. In addition, our tax payments in Norway were around EUR 700 million higher than in the fourth quarter of 2021.  Net working capital effects generated a positive cash inflow of around EUR 200 million, driven by lower prices and volumes in chemicals and materials and lower liftings in exploration and production, partially offset by negative working capital in refining and marketing due to increased stocks.  Cash inflows related to gas storage withdrawals were only small as the weather was mild and gas was only withdrawn to a limited extent. As a result, cash flow from operating activities for the fourth quarter was around EUR 1.4 billion. The organic cash flow from investing activities generated an outflow of around EUR 900 million. This included the ReOil demo plant; the PDH plant in Belgium; the coprocessing unit in Schwechat; maintenance of European refineries; and E&P projects in Romania, the UAE and Austria. As a result, the organic free cash flow before dividends for the fourth quarter came in at EUR 534 million.  Looking at the full year picture, cash from operating activities excluding net working capital amounted to EUR 9.8 billion, up by almost EUR 1 billion compared to 2021. Despite the cash outflow for net working capital effects of more than EUR 2 billion, cash flow from operating activities in 2022 was up 11% to EUR 7.8 billion. After payment of almost EUR 1.5 billion for dividends to shareholders, minorities and hybrid holders, the organic free cash flow amounted to EUR 3.4 billion.  Moving on to the balance sheet. We have been able to further reduce net debt by around EUR 500 million to EUR 2.2 billion since the end of September 2022. As a result, our leverage ratio further decreased to 8%. At the end of December 2022, OMV had a cash position of EUR 8.1 billion and EUR 5.2 billion in undrawn committed credit facilities.  We have updated our capital allocation priorities framework and included special dividends as a new additional instrument to the existing progressive dividend policy as announced mid-December. Special dividends are not a onetime event, but they are part of our principles of allocating capital and rewarding our shareholders. We are committed to delivering an attractive shareholder return.  According to our new capital allocation policy, first priority is to invest in our organic portfolio; second, to pay progressive regular dividends; third, to pursue inorganic opportunities for an accelerated transformation; fourth, deleveraging; and fifth, to pay special dividends.  When our leverage ratio is below 30%, we aim to distribute approximately 20% to 30% of our yearly operating cash flow, including net working capital effects to our shareholders through the regular dividend as a priority. And additionally, if sufficient funds are available, through the new instrument of a special dividend. Of course, when determining the levels of dividends, we will also take into consideration the company performance and the economic outlook. If the leverage ratio is 30% or higher, only our progressive regular dividend will be paid. The progressive dividend policy for the regular dividend is unchanged. We aim to increase or at least maintain our regular dividend at the respective prior year level.  Ladies and gentlemen, we have delivered strongly on this promise. As mentioned before, we will propose to the annual general meeting a regular dividend of EUR 2.80 for the financial year 2022, an increase of EUR 0.50 per share or 22% versus 2021. This is not only a new record dividend but also the highest increase of regular dividends in a year in OMV's history. Together with a special dividend of EUR 2.25 per share announced already in October, our total dividend for 2022 will amount to EUR 5.05. Both dividends are subject to approval of the annual general meeting and will be paid in June 2023. Ladies and gentlemen, I think this is a strong testament to our promise to reward our shareholders.  I would like to give you an update on the synergies program we announced following the acquisition of Borealis in 2022. By 2025, we expect synergies of more than EUR 800 million from operational cost savings, combined purchasing, debottlenecking, value chain optimization and tax benefits. The program is well on track. In 2022, once again, we achieved more than EUR 200 million. After 2 successful years, we have already achieved more than half of the targeted synergies. In the coming years up to 2025, we expect synergies in the range of EUR 150 million to EUR 200 million per year.  I will now move on to the outlook and start with capital spending. We are expecting organic CapEx of around EUR 3.7 billion, in line with our strategic commitment of around EUR 3.5 billion per year until 2030. We have already included some inflation rate assumptions in our CapEx budget, and we are very disciplined in sticking to the plan when it comes to spending. In Chemicals & Materials, our organic CapEx is estimated to be around EUR 1.1 billion. If we exclude the noncash leases, our organic cash CapEx in 2023 in Chemicals & Material increases by around EUR 100 million compared to 2022.  Major projects are the PDH plant in Kallo, the ReOil demo plant at our integrated chemical and refining site in Schwechat and the FID for the mechanical recycling plant in Austria. The ReOil plant is planned to start up in the second half of 2023 at the Schwechat refinery and will have a design capacity of 16,000 tonnes per year. Plastic waste that is not fit to be mechanically recycled and would otherwise be sent to waste incineration, will be turned into raw material, and later processed into virgin quality-based chemicals. The feedstock will be sourced in Austria in cooperation with local waste management companies. The startup of the demo plant is an essential step for the construction of the 200,000 tonne world-scale plant by 2026.  In fuels and feedstock, our organic CapEx is estimated to be around EUR 1 billion. We will invest in finalizing the coprocessing plant in Austria, building a new unit for aromatic products and performing the necessary maintenance turnaround at the Petrobras refinery. The new coprocessing plant at the Schwechat refinery will have the capacity to process up to 160,000 metric tonnes of vegetable oil, waste products or advanced feedstocks, together with fossil-based materials into sustainable fuels. The plant is planned to start up in the second half of 2023.  In energy, organic CapEx will increase to EUR 1.6 billion, given our plan to develop gas projects in Romania, the UAE, Norway and Malaysia. In Romania, we are working toward the FID of Neptun planned for the middle of this year. In Malaysia, we are progressing with the development of the Jerun field, which is scheduled to start production in 2024 with an estimated plateau production of around 25,000 BOE per day for our share. We will also invest in line with our 5% share to develop the Ghasha mega project in the UAE with first production expected in 2025.  For the Berling gas field in Norway, where we hold a 30% stake, and we are the operator, we took FID for development in December 2022, and first gas is expected in 2028. Over the strategic period until 2030, we remain committed to spending around 40% of our organic CapEx on sustainable projects.  Let me move on with an outlook for commodities and operations in 2023. Before I go into the details, as I mentioned, starting with the first quarter, we adjust our reporting structure of the 3 segments. Chemicals & Materials continues to cover the entire chemicals value chain. Fuels & Feedstock will cover the refining and marketing areas, excluding the eastern gas marketing business, which is now included in the Energy segment. The Energy segment includes the traditional exploration and production business, the entire gas marketing business and the new low-carbon business.  2023 will likely be another challenging year with only moderate global GDP growth, high inflation, lower confidence and tighter monetary policy. We assume commodity prices will come down from the exceptional level of 2022. We forecast an average Brent price above $80 per barrel in 2023. The DAG gas price is forecast in the range of EUR 60 to EUR 70 per megawatt hour, and the OMV average realized gas price is expected to be around EUR 35 per megawatt hour.  In Chemicals & Materials, we believe the market environment will remain challenging at least in the first half of 2023. Inflation, low GDP growth, high energy prices, subdued demand and higher capacities are expected to weigh on margins.  In Europe, we forecast the ethylene indicator margin to be slightly lower than the level of 2022 at around EUR 530 per tonne. The propylene indicator margin is expected to decline compared to 2022 to around EUR 480 per tonne due to an increase in European refining runs following the Russian diesel export ban. The European polyethylene indicator margin is forecast at around EUR 350 per tonne in 2023, while the polypropylene indicator margin is estimated to be around EUR 400 per tonne. The prior year margins had benefited from a strong first half year. The utilization rate of our European steam crackers is forecast to increase significantly compared to 2022 to around 90%.  We have several planned turnarounds this year. The Borouge 2 cracker is underway until March. In the second quarter, the Schwechat cracker. And in the third quarter, the Porvoo cracker. The polyolefin sales volumes of Borealis includes JVs -- excluding JVs, are projected to be slightly higher than the 2022 level. In order to offset ongoing market pressure, we initiated a value enhancement program in chemicals and materials, which is expected to deliver around EUR 100 million in 2023, coming from cost efficiencies, commercial excellence, asset reliability uplift and energy efficiencies.  We expect the Baystar ethane cracker to resume operations by the end of February, with efforts focused on stabilizing production and increasing utilization rate. The construction of the 625,000 tonne Borstar polyethylene plant is close to mechanical completion and commissioning activities are progressing. The plant is expected to start up at the end of the first quarter. Upon start-up, Baystar will run a 1 million ton integrated ethane to polyethylene production complex in Texas. Ethane prices in the U.S. are expected to be lower in 2023 due to strong gas production supporting the ethylene margins. The demand for polyethylene remains hampered by weak economic fundamentals.  In Fuels & Feedstock, the refining indicator margin is projected to drop from the record level of 2022 to between $10 to $15 per barrel. The start to the year has been strong. However, we expect normalization in the quarters to come. We anticipate the utilization rate of our European refineries to increase to around 95% including a planned turnaround at the Petrobras refinery in the second quarter. Despite the divestment of the retail network in Germany, total product sales volumes are projected to be slightly higher than in 2022, supported by demand recovery in aviation. Retail margins are estimated to be around the 2022 level, while commercial margins are expected to increase following the removal of price caps.  In Energy, we expect average production of around 360,000 barrels per day in 2023, following the exclusion of the Russian volumes and natural decline, in particular in Norway and Romania. Exploration and appraisal expenditures for the group is expected to be around EUR 200 million to EUR 250 million. Production cost at OMV group level is expected to be above $9 per barrel for the full year 2023 due to inflationary pressure.  Looking at cash flow, I would like to mention that our outstanding tax liabilities in Norway for 2022 amounts to around EUR 2 billion due to significantly higher commodity prices and are expected to be paid in the first half of 2023.  With regard to cash inflows, we expect to receive around $234 million from Borouge in the first quarter of 2023 as remaining dividends for 2022 and at least $468 million for 2023 to be paid in part in the third quarter of 2023 and the remainder in 2024.  The divestment of the Nitro business with an enterprise value of EUR 810 million is expected to be closed at the end of March, conditional to the EU antitrust approval. Regarding the divestment of the Slovenian business, we are waiting for the buyer to obtain clearance from the EU antitrust authority. Closing is expected in the first half of 2023. The clean tax rate for the full year is expected to be around 50%.  Now thank you for your attention, and Reinhard and I will now be happy to take your questions.
A - Florian Greger: Yes. Thank you, Alfred. We now come to your questions. [Operator Instructions]. Today's Q&A session will start with questions from Josh Stone, Barclays.
Joshua Stone: Two questions. Firstly, on -- focusing on the Chemicals division and the weak performance in the fourth quarter. You've highlighted some related to inventory effects and weaker margins, but you also highlight higher utility costs. Are you able to say just how much of the underperformance relates to these higher utility costs? Because presumably some of that's going to come out as we go into 2023 with the fall in power prices. And maybe on that, any other notable negatives that you'd like to highlight that you think will come out and unwind for next year?  And then secondly, on acquisitions, can you update us on your appetite for acquisitions in the chemical space? Have you narrowed down the type of businesses you're looking at? And can you also talk about your preference for going to listed chemical companies versus buying assets?
Alfred Stern: Yes. Thank you, Josh, for your questions. Let me start with the Chemicals & Materials performance, where we have seen compared to the last year, of course, a huge swing in inventory contributions last year in '21, so second half year '21, we had a positive contribution. And then in the fourth quarter of '22, it turned negative, which provided for quite a significant piece. What we have also seen then in the fourth quarter that we had a poor performance by the Nitro business also to a significant degree driven by inventory effects coming into that business. And last but not least, really the significant driver, also the start-up issues related and the winter freeze issues related to the Baystar cracker -- Baystar joint venture cracker, where we started the full depreciation after the startup, but then not enough production. So we are working hard in order to bring this back on stream and are expecting by the end of February, they should be working.  On the M&A for chemicals, our strategy in Chemicals & Materials is continuing the same, where we said we want to use our strong basis of leadership position in polyolefins today. And in this polyolefins business, we want to drive geographic expansion. We want to drive the sustainability and transformation with a circular economy and recycling. And our organic growth projects there with PDH, the Baystar joint venture and Borouge 4 will provide already for about a 30% growth in monomers and a little bit more in polymers by 2025.  What we also said is that we are open to acquisitions to accelerate the growth. And that was not only constrained to polyolefins, but also potentially do a diversification of the portfolio. But we also said it needs to be value accretive to our activities where we can do that. So this is still the same intention that we have, and we are always actively looking at the market for opportunities.
Florian Greger: And now we come to Michele Della Vigna, Goldman Sachs.
Michele Della Vigna: Really, congratulations on the record dividend. I think it's certainly very welcome news to the shareholders. I had 2 questions, if I may. The first one, you're clearly accelerating your green CapEx. I was wondering if you could actually quantify under the EU green taxonomy what is your eligible number for revenues and for CapEx. And secondly, I wondered how your negotiations are going with the Romanian government over potential windfall taxes and if there's been any development there.
Reinhard Florey: Michele, regarding the green CapEx and the eligibility, we will come up with these numbers in the course of our sustainability report, which will come out in March. So therefore, I cannot give you the number today. So this is something that, of course, is very relevant for us. And as we are heavily investing also in those sustainability businesses in more or less all 3 of the segments that we have, this also has to be proven that it is EU taxonomy conformed.  Regarding the windfall taxes, I think there are, if you take the legislation from EU, in principle, 3 countries under which OMV would be looking into this legislation. One is Romania, one is Germany, one is Austria. Both in Romania as well as in Germany, we see that under current legislation, OMV Petrom in Romania as well as OMV Germany -- in Germany are not due to this legislation. So it's not applicable there because the threshold simply regarding the total of the business are not met. When it comes to Austria, we have originally estimated a value up to EUR 150 million. We have specified that now in our results as EUR 90 million, taking into account that Austrian legislation only goes for 6 months of the year 2022.
Florian Greger: And next is Karen Kostanian, Bank of America.
Karen Kostanian: I just have one question. In terms of the news about the disposal of your E&P division, are you looking at the entire division? Or are you looking at the specific assets? If so, could you list those assets? And where would you use the proceeds on selling these assets from the E&P division, especially at such higher oil prices?
Alfred Stern: Okay. I will try to answer that question. So in our strategy that we announced last year, we said that for the entire company, but for E&P in particular, a portfolio review will be part of our strategy execution. And the intent of that portfolio review was really to make sure that we always have a strong core portfolio of E&P assets. We do not intend to sell the entire E&P of the company. But we are -- as we have also in the past, we are continuing to always look at the portfolio of our assets and looking at what portfolio measures could be useful to further drive the transformation, but also ensure that we have a strong oil and gas portfolio. More than that, I do not have to report at this moment.
Florian Greger: We now come to Sasikanth Chilukuru, Morgan Stanley.
Sasikanth Chilukuru: I had two, please. The first was regarding the dividend policy. I was just wondering if you could expand more on that. You highlighted dividends. Regular and special will form 20% to 30% of the operating cash flow when the leverage ratio is below 30%. Now for 2022, dividends form 21% of the CFFO, and the leverage is also very low. So I was just wondering how we should be thinking about the dividends potentially moving to the upper end of that range, to the 30% of CFFO. And also, if you could explain the rationale behind the split of dividends between regular and special in 2022. What would constitute excess cash flow for OMV that feeds into the special dividends? And for regular dividend itself, is greater than 20% annual growth rate that we have seen for the last couple of years sustainable for next year? Should 2023 be in line with the outlook that you have presented today?  The second was -- I have just a small question. If it was -- I was wondering if it was possible to isolate the financial impact of results in the gas marketing Western to overall E&P earnings. Just wanted to check how you would expect these earnings to evolve into 2023 as well.
Reinhard Florey: Sasi, I may take your question on the dividend policy. First of all, I think we are proud that we were able to announce a strong hike of our progressive dividend policy, our base dividend today, and in combination also with the special dividend announced in last year already of EUR 2.25. This amounts to a total of EUR 5.05 which is unprecedented with OMV. You're right that within the range of our percentage of operating cash flow, this still is in the lower end, around 22%, while we are having a range between 20% and 30%.  Now first of all, I think we have to look into the total situation of the company. We have certainly seen in Q4 a slight decline of our profitability. Secondly, and as also Alfred has said in his speech, we are expecting from the year 2022 quite significant cash payments on Norwegian areas. And we are also exposed to the solidarity taxation that I have just in the previous question commented on.  Now when you are looking into what is the rationale that this could rise, of course, if the ratio of cash flow from the outflow perspective to the next year is a very positive one, we will be now trying to also go to the maximum of this range. And we also have to look a little bit into the split of the regular and the special dividend. I think by giving the highest-ever increment that we had in the history of OMV dividends, we made it clear that the progressiveness also has something to do with the absolute result and with the absolute performance of the company in the year.  So to say this potential increase of 22% will persist for the future, this is, I think, too much to promise because, of course, we have to look into the gradual development of our results as well. On the other hand, the special dividend always gives us the opportunity to then give additional return to our shareholders, which we will definitely appreciate.  And when it comes to the impact of gas waste on the total energy sector, for 2023, it's hard to give a prognosis. It depends very much on the situation of the stable or predictable gas deliveries from Russian contract. So far, we were in the not so pleasant situation to have losses from hedges when there was volatility of these deliveries, and we were not in the position to on the spot hedge in a month ahead contract. So therefore, there have been this in average EUR 50 million or slightly more million per month losses. We hope that this will go down in 2023, but it is really today not entirely predictable what it is.  On the other hand, we can see that the operations, both on the gas side, have been significantly successful, also through our LNG business. So therefore, part of maybe losses can certainly be offset by positive results that we have in the ordinary Gas West business. And Gas East is very profitable anyway. So in total, even in 2022, we made a positive result on gas in total.
Florian Greger: We now come to Henri Patricot of UBS.
Henri Patricot: Just one left on my side. I want to check on the production outlook. You forecast quite a drop year-on-year to fewer than 360,000 barrels per day, so it's expected to be a steady decline over the course of the year and so you can exit 2023 around maybe 330,000 to 340,000 perhaps? And can stay around this level until the startup of Neptun Deep. Any additional color would be helpful.
Reinhard Florey: Yes, Henri, thanks for the question. I think it is clearly attributable to 2 factors that we have in 2023. On the one hand side, we have the natural decline. Natural decline certainly is quite stable, but significant in Romania, but also in Norway. We also see some decline -- a smaller decline in Malaysia as well as in Austria until the big projects come on, which is the Jerun project as well as the Neptun project. So then there will be major additions to that level.  We, on the other hand, see the shutdowns and turnarounds that we have in 2023. So we have in second quarter, some turnarounds in Norway at Aasta Hansteen and Gullfaks. We have, in the first quarter, some smaller standstills planned for New Zealand. And in the third quarter, some standstills in Romania. So that is all included in this figure. This may be seen as onetime effects. But of course, this is reoccurring over the time as we have to, of course, maintain and keep in full operation all these areas. So about the exit rate, I would be a positive that the exit rate is at around 340,000 or higher.
Florian Greger: Next is Raphael DuBois, Societe Generale.
Raphael DuBois: The first one is on the outlook you gave for polyolefin margins. They are not very dissimilar from the margins that you have obtained or at least the trailing indicators that you show in Q4 2022. So can you just maybe explain the -- how do you see those margins trending over the year? Based on what I see, you're not really yet able to call the trough of those polyolefin margins. It will be interesting to see what you see, especially for the specialty part of your business. Are there any pressure either on volumes or on prices from the negotiations you have with your clients? That's my first question.  The second one is on the CapEx. You've mentioned some inflationary pressures. Have you already adjusted the CapEx budget for Neptun? Or is your EUR 3.7 billion CapEx budget still implying less than EUR 2 billion net to OMV just for Neptun?
Alfred Stern: Thank you, Raphael. Let me start with the first question on the polyolefin margins. What we have seen in the polyolefin margins, or both polyethylene and polypropylene, we have seen that in the fourth quarter, we had a slight strengthening of the margins in last year. And when you now look at the -- so in the fourth quarter of last year, when we now look at the January outlook, we find more or less a similar situation that we found in December in this.  And I want to maybe give a bit of a bigger picture there. So while in the fourth quarter, the margins have become a little bit stronger, we saw soft demand. We believe a part of this is also -- there's a couple of drivers for this. I think one part of it is inventory destocking that is going on due to the situation, the month before, in particular, by corona. People have stocked up on materials and the parts from it. So we see some destocking going on. We also saw fourth quarter in Chinese inland demand relatively weak because of corona infections being strong there. And as we go forward, we believe that both of these things will slowly come out and improve further. The first quarter of this year will not -- will continue to be a tough quarter. Like I said, we started January a little bit at December level. But we believe then second half of the year, we will see some improvements due to some of these drivers.  You also -- and yes, you are correct, we are saying about EUR 350 per tonne for polyethylene and about EUR 400 per tonne polypropylene, which is similar to the Q4 levels that we had.  The specialty question that you had is a bit of a differentiated picture because in automotive, we saw continued good demand. So even a little bit increase in volumes. It looks like there's a pent-up demand in the automotive industry, and we are hoping that this will continue through the year 2023.  We have also seen good demand in our energy sector. This is our most profitable segment where we make wire and cable insulation, capacitor film materials, and we have actually seen increasing activities. And here, we have specifically the German corridor project, that is the North-South link basically for renewable electricity in Germany that will drive significant demand. And if you remember, we reported last year that we were able to secure the largest share of supply for these insulation materials for this project. So in specialty, we see the margins holding up good. And in segments like automotive, energy, but also health care, we have seen good demand compared to the quarter before, but also the year before.  Now on the Neptun project and cost inflation, with Petrom took over the operatorship for Neptun in August. Since then, they have put a big team on it, that is now working on all the plans, how to develop that field, working with engineering companies, making the purchasing requests and everything and getting competitive bids. We should be able -- we believe today that by the middle of this year, we should then have all the information together that we can make the final investment decision. And by that time, we will then also have the final CapEx cost available for this field. And also here, you are correct, in our strategy presentation, we said that the 50% share of Petrom will be up to about EUR 2 billion of CapEx.
Florian Greger: We now come to Henry Tarr, Berenberg.
Henry Tarr: Apologies if these questions have already been asked. I missed a little bit earlier. But just on the tax rate, as you look into 2023, how do you see that evolving given the sort of special contributions in E&P business? I guess that's the first question.  And then the second question just on the gas marketing business in Europe, in Western Europe. Is -- again, is there anything -- what was it that really drove the losses in Q4? Was it lower volumes coming from Russia? Was it the hedges? Was it the price volatility? Or was it something else?
Reinhard Florey: Yes. Henry, regarding the tax rate, you have seen that tax rate has, of course, in 2022, increased significantly. This has, of course, to do also with a positive situation that we had much higher earnings on the E&P side due to the higher prices. And as we traditionally have higher tax rates on the energy sector side compared to the chemicals, respectively, refining side, the average tax rate was on the rise.  We are also expecting in 2023 quite similar tax rate. First of all, as we also have a good anticipation regarding at least oil prices, but also relatively strong gas prices, but specifically, because we are paying the tax for the year 2022 with 2 quarters delay into also the next year. So the quarter 1 and quarter 2 will be a strong cash out also from the tax payments in Norway.  Regarding the special contributions, we do not expect that the situation regarding 2022 and 2023 would significantly change. However, as I explained, Austrian legislation did only take into account 6 months for the solidarity tax whereas for 2023, it will be a full year. And of course, we have to see for 2023, whether anything changes regarding legislation in countries like Romania, but this is up to be seen. We are currently not expecting any major impact there.  Yes. Second question was on gas marketing business and Wood were the reasons for the losses in Q4. You're absolutely right. It is the volatility of the supplies in -- from Russia. As this is a month-ahead contract, we do have some difficulties to find a sweet spot of a hedge. Of course, we cannot go without the hedge, else we would be fully exposed to the market dynamic, which is currently very high. And if there is over or under delivery, we run the risk that, of course, the satisfaction of the volumes that we have promised to our customers according to what we think we get can be then creating losses because either the prices go up and we get less, and we have to buy it on the market or the price go down and we could have more and then have to sell at the higher prices of the month ahead. So it is the combination of volatility of supply and the hedges we have to do that are currently causing these kind of issues. I have in my previous answer indicated that this can carry on in 2023, but we hope that the intensity also will decrease over time.
Florian Greger: We now come to Matt Lofting, JPMorgan.
Matt Lofting: Two, if I could, please. Firstly, on cash return. Could you talk about how you intend to manage the 30% leverage threshold in the renewed policy? Fully understand the logic. But given where inorganic M&A sits within the capital allocation priorities you outlined, I'm not fully clear how sustained the full 20% to 30% distribution range may be and how you deal with the scenario of a temporary M&A-induced period above 30%.  Second, more big picture perhaps. I guess we're approaching 12 months on from last year's CMD. There's been a lot of moving parts since some of which wouldn't have necessarily been anticipated at the time. So can you just summarize how you see OMV's medium-term equity proposition here and the key milestones the market should look to through 2023? Headline free cash flow has clearly been very strong, but question mark appear to remain over the Chemicals outlook. And in some ways, repeated and mixed M&A-related headlines arguably create some degree of uncertainty on the mid-decade portfolio makeup and free cash flow drivers versus the prior CMD frame. So I appreciate if you could update the latest thoughts there.
Reinhard Florey: Maybe on your first question regarding cash return. There is a clear commitment that as long as the leverage ratio of OMV is below 30%, it will be a possibility for us to go into that 20% to 30% range of the operating cash flow, and that would then include a normal progressive dividend as well as a special dividend.  Now if there would be a situation that by acquisition, by an inorganic growth, we would surpass the 30% threshold, our first aim is to bring the leverage down below 30%, and we have proven in the past that this can be quite fast. So we have, for instance, in the case of the Borealis majority acquisition, we -- it took only 3 quarters, 9 months to bring it back under the level of 30%. So I don't think that there is really a realistic threat that we would, for a multitude of years, fall out of that range. And therefore, I think this is a very strong promise that we are giving and the commitment that also special dividends can be sent out.
Alfred Stern: Matt, I want to then comment on your second question around the strategic direction. And maybe I'll start with saying -- it's -- you're absolutely correct. I think a lot of things have happened in 2022 that were not completely anticipated in the way we thought. But I think realistically, making a 2030 strategy, one has to anticipate that there will be agility and adjustments needed on the way to get to 2030.  Now that they would be this big as we encountered last year, maybe that is also a bit extreme. But I think we have done extremely well because we were able, in my opinion, to manage 3 different things that were quite remarkable. The first one was we reacted really quick to this Ukraine crisis. We made decisions quickly about our deconsolidation impairments, removing Russia as a core region and then also setting up a gas task force to manage both the liquidity but also the capability to supply our supply obligations to our customers. And where we stand today has shown that we did have to take some impairments, but I think we have done, overall, very good in managing this.  The second piece is that the opportunity to take advantage of very special market situations, where in the year, we saw exceptional prices and margins for almost all 3 of our segments, with the Chemicals segment becoming -- softening in the second half of the year. But making sure and has led to overall record result in actually all profitability, cash drivers, and we are extremely satisfied that we can actually announce this record progressive dividend, but also there on top, the special dividend on that.  Now -- but the third piece is that we also kept firmly our eye on our strategic direction, where we said, over time, we will develop into a sustainable fuels, chemicals and materials company. We will decarbonize net zero the company by 2050 with milestones in between.  And on the energy sector, we maintain our position here that we say we will make sure that at any time, we have a strong E&P portfolio, but we will also look at portfolio optimization measures if they make financial sense and help us to accelerate our strategy. At the same time, in the energy sector, we have started to work on developing a low carbon business. I will just point out 2 things we have done there. In Romania, in Petrom, last year, we have announced a joint venture with Oltenia on a 450-megawatt photovoltaic plant that is very attractive because it receives significant subsidies. And then we have also completed the first geothermal test here close to Vienna for this low carbon business.  On the Fuels & Feedstock sector, we are also committed to our journey in the direction of sustainable fuels and feedstocks. And it was actually very nice that already last year, we could supply first commercial quantities to Austrian Airlines, and we have actually received a significant interest from other airlines. And as a consequence of this, we were able to sign a number of MOUs for supply of sustainable aviation fuel with other big airlines such as Lufthansa Group, Ryanair, Wizz Air, just demonstrating that this market will be short and there will be a high demand because it is something that the airlines need in order to decarbonize their operations. So that transformation, we will continue to be committed to.  On the chemical side, yes, we are seeing a soft part of the cycle here. But as I also pointed out, some of our most valuable business segments like in automotive, like in energy, health care, so our specialty segments, we see a rather stable and see continued very strong growth opportunities in those different segments, and we will make sure that we capture as many of those and on the transformation driver, the recycling activity also receives a lot of interest. We will be one of the companies that is first able to supply actual, real commercial quantities, both on mechanical recycled materials, but also on chemically recycled materials with our additional share purchase to get a majority of Renasci. We are actually able to already supply chemical quantities now. Our ReOil pilot plant will do that, and the next size is coming on-stream today. So I think we are on a good way with this. And of course, I've also seen significant cash delivery out of all 3 segments through the year.
Florian Greger: We now come to Peter Low, Redburn.
Peter Low: Hopefully very quick, just clarifications. Can you quantify the insurance proceeds included in the base chemicals result? And that's the first one.  And then the second just is on the negative inventory effects in Borealis, excluding JVs. I'm just trying to understand how much of that, in theory, would unwind in a stable commodity price environment. Would that add back, be the EUR 100 million number rather than the EUR 200 million number you also talked about?
Alfred Stern: Yes, the insurance part on the chemical. So that's the insurance part from the refinery incident, and this was distributed between the different business areas. The chemical part was about EUR 50 million.
Florian Greger: And Peter, maybe you can repeat the second part or the second question again?
Peter Low: Sure. I'm just conscious that there's kind of a negative impact in Borealis relating to inventory effects. You have talked about 2 numbers, I think, EUR 200 million and EUR 100 million. I'm just trying to think how much we should assume kind of comes back. I think it's your EUR 100 million number because I think that was the loss in 4Q relating to inventory effects, but I just wanted to clarify that.
Alfred Stern: Yes. So overall, the inventory effect of the total year was -- in the Chemicals area was actually a positive inventory effect. I think it was a higher 2-digit kind of million amount. The EUR 200 million that we reported was actually the difference between the Q4 '21 result and the Q4 '22 result. Q4 '21, positive EUR 100 million. Q4 '22, negative EUR 100 million, right? And you get that from this reduction now to -- of the prices from these extremely high prices that we saw during corona lockdown period.
Florian Greger: And last but not least, Bertrand Hodee, Kepler Cheuvreux.
Bertrand Hodee: Two, if I may. The first one, coming back on your production guidance for 2023. Can you give us a bit of more granularity on the expected decline you expect both for Romania and Norway this year? And the second question is on working capital. You had in 2022, a large working capital outflow of around EUR 2 billion. Do you expect some of this to unwind in 2023 should commodity prices stay where they are today?
Reinhard Florey: Sure, Bertrand. Maybe to give you a little bit more on the production guidance. If we're looking at the biggest decline that we actually have, those are the more mature fields that we have in Romania and Norway. And specifically, where it is gas fields, we, of course, have a higher depletion rate and therefore also a higher rate of the expected decline. So this means there, we have some magnitude of above 10,000 BOE in Norway that we are expecting to decline.  On Romania, it is also you have seen it that there have been some write-downs in Romanian assets due to the slightly lower expectation of reserves and also the higher decline rate. The decline rate, that is between 6% and 8% in some of these specific fields. That has, in total for the year, also about the same magnitude that we have in Norway.  So I hope that helps to balance. Of course, this is not the only part of the picture because we are also having projects and developments that come online in parallel. So therefore, take that as the only negative contributing part, partly balanced by a positive contribution of the developments.  Your second question was on the net working capital. Yes, you're absolutely right. We had a total delta net working capital of EUR 2.1 billion in 2022. And of course, taken as variables when we are looking into the year-end figures pertaining in 2023, we would expect some of that net working capital to come back. We have certainly not seen in quarter 3 and quarter 4, where we each had small positive net working capital contribution, the full of the impact that we had specifically from the gas side coming back. But please take into account that, of course, the next winter is coming. And in Q4, we will again have higher levels in our storage, and that is the main driver for building up the net working capital. However, if gas prices are lower, then also the net working capital in total will be lower.
Florian Greger: I just heard there's a follow-up question from Raphael DuBois, Societe Generale.
Raphael DuBois: Yes. Two very quick questions. The first one is for Western Gas Europe. I think I understand that the results in Q4 was less negative than in Q3 because you included that for the first time the contribution from your LNG business, Gate. Will it be possible to have a bit more granularity on what was this contribution since you will be booking it this way going forward?  And roughly similar question for ADNOC Refining & Trading. Would it be possible to have some feel for what came from refining in 4Q? And what came from trading? How much of a tailwind does this trading business has given you?
Reinhard Florey: Yes. Raphael, very detailed questions indeed. If you take the LNG business, of course, taking that into account was a consequence of the fact that we saw now with long-term contracts, with booking cargoes, with a long perspective also on a positive development of the LNG business after years of losses, now we are very glad that we are in this position. We took the impact for the year also into account, and this is what you have seen in quarter 4. So not the full impact of what you have seen in quarter 4 will be continued, but we will continue to have positive results from LNG, and I think this is the good news about the development of the overall gas business.  When it comes to ADNOC Refining, I can confirm that we had both positive contributions from the trading as well as from the refining. Unfortunately, we do not split also in agreement with our partner here the results as there's a very strongly integrated operations on the production and on the trading side. So unfortunately, I cannot give you a split.
Florian Greger: This now brings us to the end of our conference call. Thanks a lot for joining today. And as always, if you have further questions, please contact the Investor Relations team. We're happy to help. Thanks a lot, and have a good day. Bye.
Alfred Stern: Thank you.
Operator: That concludes today's teleconference call. A replay of the call will be available for 1 week. The number is printed on the teleconference invitation. Or alternatively, please contact OMV's Investor Relations department directly to obtain the replay numbers.